Operator: Good afternoon, and welcome to the Dave & Buster's First Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Cory Hatton, VP of Investor Relations and Treasurer. Please go ahead.
Corey Hatton: Thank you, operator, and welcome to everyone on the line. Leading today's call will be Chris Morris, our Chief Executive Officer; and Mike Quartieri, our Chief Financial Officer. After our prepared remarks, we will be happy to take your questions. This call is being recorded on behalf of Dave & Buster's Entertainment, Incorporated and is copyrighted. Before we begin the discussion on our company's first quarter 2023 results, I'd like to call your attention to the fact that in our remarks and our responses to questions, certain items may be discussed, which are not entirely based on historical fact. Any of these items should be considered forward-looking statements relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Information on the various risk factors and uncertainties have been published in our filings with the SEC, which are available on our website. In addition, our remarks today will include references to financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP measure contained in our earnings announcement released this afternoon. Pro forma financials, including Main Event for the trailing four quarters ended April 30, 2023 can be found directly in our earnings release this quarter. Now it is my pleasure to turn the call over to Chris.
Chris Morris: Okay. Thank you. Corey. Good afternoon, everyone, and thank you for joining our call today. We are pleased to report record results for the first quarter of fiscal 2023. In Q1, we generated record revenue of $597 million and record adjusted EBITDA of $182 million resulting in an adjusted EBITDA margin of 30.5%. In a few moments, Mike will walk you through the details of our financial performance. In the first quarter, our team did a phenomenal job running the business. Our extremely talented team of operators and support center employees continue to execute on the breadth of strategic opportunities we've identified to unlock significant revenue growth and cost efficiency opportunities in our business. Our operational achievements in the quarter are indicative of the progress on our strategy, and we're also seeing improved guest satisfaction scores as we perfect the service model and optimize the role of our team members play as our most important brand ambassadors. In addition, with key enhancements we've made to our culinary team, we are working feverishly to improve our overall food and beverage offering, including improving the quality of the food, simplifying the menu, improving operating efficiencies, and upgrading guest facing technology to simplify the ordering process amongst other initiatives. We remain particularly encouraged by the opportunity for our Special Event business which saw significant comp store growth on a sequential basis, returning back to 2019 levels. We are taking full advantage of the recovery and with the heightened focus we are applying to this important business, we have a clear path ahead to grow meaningfully into the future. The improved growth has been driven by structural alignment changes to the team, both at the local store and support center level. And these changes are already bearing fruit. As Mike will discuss more in a few minutes, we continue to be laser-focused on implementing efficiencies and reducing cost across all areas of the business. While we previously exceeded our synergy target and have locked in at least $25 million in cost reductions as a result of the combination with Main Event, we have parlayed these efforts into running the business with sharpened cost controls, as we believe significant opportunities still exist to reduce our cost base across cost of goods sold, store labor, store operating expenses and corporate overhead. As you can see, our results this quarter are already benefiting from improved input costs, as well as improved labor optimization. In combination with our other initiatives, we expect these cost efforts to drive a lower cost base, expand our margins and improve cash flow generation. Turning to market initiatives in the quarter, as a follow-on to our fall football campaign, we continue to dedicate a portion of our marketing spend to our Watch experience. The out-of-home social sports watch audience is large and we feel confident in our ability to drive both brand relevancy and visit frequency by building even greater awareness that Dave and Buster's is America's new favorite place to watch sports. Over the spring, we leveraged marquee NBA and college sports watching events to get the word out and were featured in 30 NCAA basketball games during Conference Championships appealing to both families and young adults. We also ran over 60 spots in key NBA playoff games to create awareness nationally, as well as in those local communities. The first quarter is also spring break season. So in parallel, we ran several digital promotions, targeting families and social, paid digital and CRM to keep D&B top of mind and in the consideration for families looking for out of home fun during spring break. Running these programs and digital channels allows us to stay nimble by adjusting deals and spend based on performance as well as timing given spring break weeks vary so greatly across the nation. We are very excited about the enhanced digital capabilities with the team that we've assembled to elevate our ability to meet our guests where they are, and maximize media effectiveness. Looking ahead, summer is an important time for our brands as both families and young adults look for fun things to do to fill long days with experiences that allow them to connect. As we announced yesterday, at Dave & Buster's, our summer campaign features a high value limited time five free games promotion to drive traffic in conjunction with our new highly appealing You Know You Want To campaign. In the quarter, we opened one new Dave & Buster's store in Puerto Rico, and three new Main Event stores in Little Rock, Arkansas, Tucson, Arizona and Lexington, Kentucky. We also signed two international franchise agreements for up to 15 stores in India and up to five stores in Australia. We continue to be extremely excited about the future of this organization. We have two industry leading brands in Dave & Buster's and Main Event. These brands have exceptional business models, strong assets and are led by a talented and passionate group of operators. We have a clear line of sight on the strategic opportunities ahead for the business and a management team with a proven track record of superior execution. As evidenced of the conviction we have in the long-term success of our business and the value we see in our shares, we have repurchased $200 million of common stock thus far in fiscal 2023, reducing our shares outstanding by nearly 12%. We have an additional $100 million remaining on our share repurchase authorization. We highly encourage you to tune into our virtual Investor Day next Tuesday, June 13 at 7:00 AM Central where we look forward to unveiling more details about our vision and strategy with you. With conclusions drawn from extensive research and field work by management team with a track record of successful execution, we will specifically outline the numerous levers we have to drive top and bottom line growth, as well as cash flow over the next three years. You're not going to want to miss this exciting and informative event. With that, let me turn the call over to Mike to review our first quarter results. Mike?
Mike Quartieri: Thanks, Chris. We're pleased to report strong financial results for the first quarter. We generated record revenue of $597.3 million, record net income of $70.1 million, and record adjusted EBITDA of $182.1 million in the first quarter. On a pro forma basis, our first quarter revenue and adjusted EBITDA reflect growth of 3.8% and 4.6%, reflective -- respectively relative to our first quarter of fiscal 2022. We continue to make significant strides, optimizing our business model to drive revenue, realize meaningful cost savings across the company, and deploy capital at high ROI opportunities. We produced a 30.5% adjusted EBITDA margin in the first quarter, an improvement of 20 basis points versus the prior year period on a pro forma basis, Our margin profile remains one of our strongest attributes of our business and we are confident in the levers we have on the cost side to defend it. Also, our strategic investments to lower our overall cost base will be a meaningful catalyst to expand margins as we continue to grow and consumer confidence improves. Pro forma comparable store sales decreased 4.1% versus 2022 as we lapped a very robust prior-year period. Recall that in March and April of 2022, we saw outsized comp performance of 15% and 26% respectively as the country emerged from the Omicron variant. When we look back at a more normalized level of business, we were up 10.3% versus 2019 on a consolidated basis. Our Special Events business continued to grow in Q1 2023 with our combined comps now flat to pro forma 2019 levels. We generated $92.4 million in operating cash flow during the first quarter, contributing to an ending cash balance of $91.5 million, for total liquidity of over $581 million when combined with the $490 million available on our $500 million revolving credit facility, net of outstanding letters of credit. We ended the quarter with total leverage ratio of 2 times. Our strong cash flow generation and conversion gives us the ability to simultaneously invest in our system, grow new stores and repurchase shares. As previously mentioned, we repurchased 3.6 million shares in the first quarter at a total cost of $125.5 million. And subsequent to the end of the quarter, we repurchased an additional 2.1 million shares at a total cost of $74.5 million, bringing the total purchases to the 5.7 million shares, totaling $200 million representing nearly 12% of our outstanding shares as of the end of fiscal 2022, and we still have $100 million available on our remaining existing share repurchase authorization. Turning to capital spending. We invested a total of $50.8 million in capital additions during the quarter, opening one new Dave and Buster's store in Puerto Rico and three new Main Event stores in Little Rock, Arkansas, Tucson, Arizona and Lexington, Kentucky. We have already opened two new Dave & Buster's stores during the second quarter, one in Lubbock, Texas and the other in Queen Creek, Arizona. Consistent with our prior statements, we are on track to open a total of 16 new stores during the fiscal 2023 period, comprised of 11 Dave & Buster's and five Main Event locations, plus the relocation of our Dave and Buster's Vernon Hills, Illinois store. To summarize, we are extremely excited about the strong execution in our business, our progress capturing synergies, the numerous growth opportunities for us to pursue, and the talent and experience of our team to drive growth despite the challenging macroeconomic environment. We remain focused on closely managing costs and capital spending to ensure we strategically unlock the maximum value of these two great brands and deliver the highest returns possible for our shareholders. We look forward to speaking to you again in next week at our virtual Investor Day where will be discussing our mid-term growth strategy in detail. Now operator, you can open up the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Andy Barish with Jefferies. You may now go ahead.
Andy Barish: Hey, good evening, guys. Just a couple from me. Mike, if you can point us towards anything specific in the other operating expense -- other store operating expense line that was certainly along with other expense areas, one where there were some nice improvement versus our modeling. Anything specific that's starting to show up in that line or different from past periods.
Mike Quartieri: I'll touch on a couple of things. One, from an inflationary perspective, we're starting to see a little bit of deflation quarter sequential on our hourly wage rates, we’re down approximately about 0.5% there and we're down about 3% quarter sequential on our commodities. So that's benefiting our cost of goods sold at the top line. Besides that, we are continuing to realize the synergies which are benefiting our G&A costs and we have continued to look at the other store operating expenses whether that's store operating supplies, utilities, things of that affect that we've been able to put some programs in place to help reduce those types of costs.
Andy Barish: Got you. Thank you. And then just a follow-up. I'm sure we'll hear more on this next week. But where are you kind of in the remodel test and some of the new entertainment, the social gaming aspects and things like that? Are some of those out in stores at this point or how do we kind of think about that for the rest of 2023 and then into 2024?
Chris Morris: Yes, Andy, I'll take that. This is Chris. And you're absolutely right. Next week at our Investor Day, we're really excited to be able to walk everybody through the details of our plan. We've got a lot to share with you. Remodels are certainly one of those items. We strongly see remodels as one of the catalysts to -- one of the key catalyst to get our topline moving on a sustainable basis. Right now the first remodel to open will be late July, early August. So we don't have a remodel yet in the market. We are -- we have 12 units that are -- we are going through the permitting process and we expect to have six of those 12 done this year. And so, really looking forward to getting those in the market and we will walk you through a lot more details next week.
Andy Barish: Okay. Very helpful. Thanks, guys.
Chris Morris: All right. Thank you.
Operator: Our next question will come from Jake Bartlett with Truist. You may now go ahead.
Jake Bartlett: Great. Thanks for taking the questions. My first is on the quarter-to-date, in the recent quarters you've talked about giving us some quarter-to-date trends on sales. So I'm hoping you can do that this quarter as well. So that's one part of the question. The other is on the -- versus 2019, the same-store sales versus 2019 has decelerated over last three quarters, kind of, it looks like there's building pressure, maybe momentum is declining. I guess your answer on the quarter-to-date is going to help with that question, but what would you attribute that slowdown to and do you have a view into re-accelerating that?
Chris Morris: This is Chris. Let me -- I'll take the first part of that question then I'll let Mike take the second part. So with respect to providing intra-quarter sales figures, in our last call we let everybody know that going forward that's a practice that we're just moving away from. We want to keep our focus just on more longer-term approach. But -- so we're not going to be able to provide commentary on how we're doing just for the first few weeks of this quarter that we're currently in. But what I will tell you is, our year-to-date comps through May versus our year-to-date comps through April, there is really no material difference between those two. But I wouldn't read too much into that because the month of May is just really such a small month for us. June and July is when the business really picks up, just from a seasonality standpoint. The month of May typically represents about 25% of our sales during the quarter. So we're really looking forward to get it into the summer months here in June and July. Both of our brands typically do very well during those months. And so we're -- our focus is just more on the longer term.
Mike Quartieri: Yes. I think in regards to the second part of your question -- I would say, just in regards to the second part of your question about looking back to 2019, one thing we did note during this quarter, we did see versus 2019, every month we progressively improved. So although there is some decline when you're looking at from quarter sequential, I think that's just more about the pent-up demand in the economy with excess dollars around COVID relief and all the stimulus that was in the system that was just being burnt off.
Jake Bartlett: Great, great, I appreciate that. And I understand on the quarter-to-date point. My other question was about the cadence of marketing and you've launched five games for free promotion, but this lapse, I believe the summer games, which is re-launched last year. So I'm wondering if -- in terms of cadence and what we compare against on a promotional perspective, do you expect whenever you -- what you're doing this summer to be more impactful? I mean, is there a reason to think that your approach this year is going to have a more of a -- be more of a traffic driver than last year's approach.
Chris Morris: Well, I'll just -- generally speaking, we -- our goal is that, every year we intend to do better than we did in the prior year. So generally speaking, we fully expect that this campaign is going to outperform prior year's campaign. That's just the standard that we hold ourselves to. What I'll tell you is, Summer Games, that's a promotion that the brand has done typically during the summer months. And when we looked at -- our team has dug in really deep and looked at the performance of all the marketing activities over really long period of time and our opinion is, last year that was one of the weakest campaigns of the year. And when we went back and when we looked at time, we really -- we didn't really see Summer Games really moving the needle in a big way when we looked at the results before and after the marketing spend. Other than -- and the 2018 year when we did Summer Games and we tied it in with the launch of our new VR attraction with Jurassic Park. But aside from that, it didn't really move the needle. But we do know that our guests are looking for value during this period of time. We know that our guests are very eager to come in and take advantage of the entertainment offering. And so we felt strongly that we needed to lead with entertainment and we needed to bring more -- bring some interest into the game room. And based on all of our concept testing, the offer that we're running by far outscored anything else in our concept testing. So we're pretty optimistic, just based on all the research that we did. But it just launched yesterday. So time will tell.
Jake Bartlett: Great. And then last question real quick, on the share buybacks, nice thing and an aggressive like to see that. It looks like what you've repurchased quarter-to-date is about where your cash balance was at the end of the quarter. I know you've been generating -- likely generating free cash flow since then. But are you -- is your approach to it -- would you take down debt in order to buy back shares? I just want to make sure I understand your approach to the balance sheet.
Mike Quartieri: That would be conversations we have back and forth with the Board. But rest assured, given our liquidity and the future cash flow generation that we are able to produce and what we've done historically on a free cash flow conversion from EBITDA, we're very comfortable taking either approach, either using just the cash on the balance sheet or to take out a piece of debt on the revolver to do so.
Jake Bartlett: Great. I appreciate it.
Operator: Our next question will come from Brian Vaccaro with Raymond James. You may now go ahead.
Brian Vaccaro: Hi, thanks, and good evening. I just wanted to circle back to the comps in the first quarter and ask about it on a year-on-year basis. I mean, it looks like both brands were down around 4% based on your 10-Q disclosures. I'm just trying to keep in perspective, quarter-to-date you had said was down low singles, it implies a sharper decline in April. And could you just provide more color on what you think is driving that decline? I mean, is it primarily the difficult lap or are there any sequential changes in behavior beyond normal seasonality that might be worth highlighting, like low amounts being loaded on cards or how consumers are navigating the menu on the F&B side or just anything across the incumbents, just any color would be helpful there.
Chris Morris: Sure, Brian. I'll start and let you wrap it up. I mean, the short answer is no. There's nothing that's noticeable that happened between March and April. There was a considerably higher compare in April. So we're lapping a much stronger number in the prior year. And so that's definitely a consideration. As Mike mentioned earlier when we compare our results to the 2019 year, the pre-pandemic year, what we actually saw a sequential improvement going from March to April. But we've spent a lot of time looking at our numbers to see if there is any trends that we should be aware of, changes in consumer behavior or anything along those lines. And there was nothing noteworthy there.
Mike Quartieri: Yes. I think the only other thing to add on to your point of regarding Power Card loads, we haven't seen any decline in that dollar value. So, the health of the customer is still there. So I think it's really more around -- it's a very tough comp when you're lapping over 26% growth which is 9% higher than what we had in the March period of 15% on a combined basis.
Brian Vaccaro: Okay, that's helpful. And then on the margin front, I just wanted to go back to the comments on labor specifically, and you saw, I think, it was about 40 bps of deleverage but comps being down 4%. I guess -- it looks like the cost per week is running down 1% to 2% year-on-year by my math and I'm just trying to frame how you're achieving that. If you could provide more color on how you're optimizing the labor that you're deploying in the units? And Mike, could you also just give us what was year-on-year wage inflation In the quarter?
Mike Quartieri: Yes, sure. So, I'll start with the beginning. How are we controlling labor right now is really a testament to Tony and the operating team that we have. Very much a diligent view of looking at the weekly forecast for sales, analyzing that on a per day basis in order to get the staffing right where you're getting that staffing out of Monday through Thursday to really honed it in on the weekend when we're peaking the peak, is driving the labor overall down but also having the right labor at the right time and the right place, allows us to improve our overall scores with our guests and our guest satisfaction. So I think from that perspective, it's really about driving that discipline and do it on a weekly basis, on a daily basis, on a per-shift basis and that type of rigor is really paying off for us. In regards to the wage inflation, give me one second. Overall wages in Q1 from an hourly perspective, Q4 was roughly $13.14 and we're seeing now closer to just over $13 and with a couple of pennies above that. So continued focus on as we replace employees who have learned or had left, and so we're getting the new employees on that turnover ratio. We're able to bring people in at a little slightly lower rate, just based on the controls that we see and the discipline around our hiring practices.
Brian Vaccaro: Okay, great. That's helpful. And I just wanted to go back to the -- last one for me, just on the share repurchases and capital allocation. Can you just touch on the decision to buy back stock versus paying down debt with the rate on your term loan, now I think about 10%. And I am just also curious where you are in the process of potentially refinancing some or all of your debt. Thank you.
Mike Quartieri: Yes. When go through the exercise of looking at how we view the, I would say, the extreme undervalue of our shares in relation to that 10% debt. And just believe that the shares have a greater value of upside in order to repurchase that $200 million that we felt comfortable with. In regards to refinancing potential, the soft call does come off June 29 and so we would be looking to take advantage of the market, assuming there is a market which we're all knocking on wood that there would be, to be able to reprice that desk -- that debt accordingly and yield interest savings off of that.
Brian Vaccaro: All right, great. I'll pass along. Thank you.
Chris Morris: Thank you.
Operator: Our next question will come from Jeff Farmer with Gordon Haskett. You may now go ahead.
Jeff Farmer: Great, thank you. Just looking for a follow-up to a couple of earlier questions. Specifically, the first one would be, additional color on your guest trends in general. You touched on it, but I'm curious if there's anything more notable across weekend, weekday, family, young adults, income, demographics, any way you want to slice it, but is there anything that you've noticed in terms of shift changes in recent months as the consumers come under a little bit more pressure?
Chris Morris: Yes, sorry. [indiscernible] and I was just pointing each other like who wants to take that one. And so, I'll start. So again, I'll tell you, the short answer is, there is no -- there has been no material shift throughout the quarter in consumer behavior trends. So it was pretty consistent throughout all three months of the quarter. Some of the items that you mentioned, look, we just don't get into that level of granularity in our disclosures. And so, if there's something that really is material, that pops up at that point in time, we'll share with you. But throughout the quarter it was -- throughout all three periods, it was pretty consistent.
Mike Quartieri: Yes. And just to add on top of that, it's not only at the demographics level from an income perspective for our guests, we also look at across the spectrum of all the geographies and the DMAs that we're in. And there is not any particular area that's falling off more than anything else. So everything has been staying relatively consistent.
Jeff Farmer: Okay. And this was also touched on, but a lot of us are sort of looking at that same-store sales metric versus 2019. It's already been asked above. But I am curious sort of one thing that sort of popped up and there has been a conversation with investors is that, perhaps the strength of the NFL campaign in September, October, into early November was sort of stronger than everyone appreciated. And as you rolled off of that, again, this is all sort of theoretical, as you rolled off of that, potentially that became a little bit of a traffic headwind or you just lost that tailwind. So did you subscribe to that at all? Do you think that there is just so much strength around or resonance with the NFL campaign that once you sort of rolled off of that, you saw this? I won't call it a normalization, but a downshift as it relates to traffic trends.
Chris Morris: I don't think I'd go that far. What I'd tell you is that, we're -- we were pleased with the success of the campaign, and we learned a lot doing that. It was the first time that we had on a national level promoted the Watch side at that level. And then to have someone like Travis Kelce endorsed it was a big win for us. And that actually helped inform our decision to do the Slam Dunk Deal and then take advantage of -- at the national level, take advantage of March Madness as well as NBA Finals. So very, very pleased with the results there. But I don't think I would go as far as to attribute that as the difference maker in our sales. I think, we -- at this point in time, we're not seeing material shifts throughout the quarter. We didn't see those materials shift one way or the other within the granular aspects of the business. We -- there is -- yeah, I think just lapping a really challenging period last year has certainly made it more difficult and we're going to know a lot more during the summer months. Yes, I think what we're -- the summer months are very important to us. As I mentioned, June, July, that's when young adults want to come to us as well as families, and so it's a really high volume period of time for us. And what the consumer does over the summer is going to be very, very interesting. And so, right now we're focused on everything that we can control. We're focused on the things that we know and next week we're going to walk you through why we're so enthusiastic about our plan and we've got a number of levers that are available to us to grow this business and we really look forward to walking you through all of those. And when we're done walking you through that, there'll be no mistake that there is considerable upside in this business. So right now, we're still trying to figure out exactly the consumer environment and topline. We'll know lot more at the end of the summer and we're really excited about our plan.
Jeff Farmer: I appreciate that. Just one more again, another follow-up, I apologize for being long-winded here. So the margin performance, I'm getting sort of real-time emails about this how impressive it was in the backdrop of the comp that you guys delivered. And the question now becomes, are you guys sort of full tilt or maximizing the margin efficiencies that this business can drive at this state in that sort of, the best we can hope is that, you hold on to these margin inefficiencies as you move forward or are there -- is there sort of additional margin opportunities that lie ahead above and beyond just revenue growth. Is there other levers that you guys have out there that you think can continue to drive margin improvement above and beyond what you guys have already done?
Chris Morris: Yes. So we see further improvement. And that's one of the items that will walk you through next week. So if you could just hold off a week, we're going to give you a ton of information on it, and I believe you're going to be very pleased.
Mike Quartieri: Yes, the one thing I'll add, Jeff, there is a seasonality nature to our business when it -- especially when it comes through just your top line, and then how that flows through. So in this period of Q1 and Q4, we've historically always had our best margins. Q2 has been pretty much about average and then obviously when Q3, when kids go back to school, it's our general seasonally low period of time and then you just see that margin drop accordingly, because you just don't have the topline flows through that you typically would see in these higher periods of Q1 and Q4, so to Chris' point [Multiple Speakers]
Jeff Farmer: I was just going to say, I think investors clearly understands the seasonality aspect of it. It is just the improvement in the margin, which was the thing that's getting attention. So I hear you loud and clear and more to come at the Investor Day. So I appreciate it, guys. Thank you.
Michael Quartieri: You got it.
Chris Morris: Thank you.
Operator: Our next question will come from Sharon Zackfia with William Blair. You may now go ahead.
Sharon Zackfia: Hi, good afternoon. So on the last earnings call you talked about a choppy kind of sales environment. I think part of that was related to the movement in spring breaks and it's always kind of tough in mid to late March to kind of know where things are going to lie. Do you feel like now there's more predictability in your sales trends? And I'm also curious as to kind of how you're viewing the competitive environment at this point, whether you're seeing any more incremental pressure from new competitors opening, kind of, like, we used to hear about would Dave & Buster's back before the pandemic.
Chris Morris: Let me go in reverse order. So with respect to the competition, I mean, there is -- that's not something you're going to hear from this team. We're focused on maximizing the opportunities that we have in front of us with Dave & Buster's and we're going to walk you through our plans next week. We're super excited about it. As I said a minute ago, we have so many levers that we're -- that we believe we're going to be able to effectively pull to get this business moving. Our plan is to outcompete. So that's our plan. With respect to the predictability of sales, relative to that period of time that you just referenced, the answer is yes, because that period of time last quarter, the last time we had our call, it was very confusing to understand the underlying trend in the business because there are so many mismatches in spring break. And so that was just kind of wreaking havoc with our numbers. And so, obviously, we don't have that same level of mismatch happening at this point in time. And so, relatively speaking, it's -- we're in a better environment to get a feel for sales. But at the same time, I'll also tell you that with all the chatter happening in the macro environment around the consumer and what's going to happen to consumer spending during the summer and in the fall. All that stuff kind of ways on our ability to effectively predict sales. And so, as I mentioned a minute ago, we try not to get bogged down in that. We just try to stay really focused on the things that we can control and be as efficient as we can and sort of aggressively execute the strategic initiatives that we've identified.
Sharon Zackfia: Thanks for that. And then one question on the Amusement comp down 6.5%-ish. Is that a proxy for kind of the traffic on the Amusement side or are you seeing kind of lower loads per card than you would have seen in the year-ago period?
Mike Quartieri: Yes, I'll take that. Actually -- we're actually seeing an increase in some of the card loads. So there is the concept of, as you give customers that opportunity to trade up in value, that you do get this nuance of a parent buying the higher value card and splitting it between their kids as opposed to buying the two individual cards. So there is a little bit of that, but it is also one of the indicators that we're always watching for as we measure, that is for traffic and any other, call it, the ability to kind of measure how our marketing campaigns and other value opportunities that we have to offer to our customers.
Sharon Zackfia: Okay. Thank you.
Chris Morris: Thank you.
Operator: Our next question will come from Chris O'Cull with Stifel. You may now go ahead.
Chris O’Cull: Thanks, good afternoon, guys. I had a follow-up question regarding that. Just given a lot of the comp performance has been coming from Check build or pricing, how are you thinking about that moving forward, especially given the transaction performance, because it may be a little pause about, maybe trying to raise the Check with a higher entry point with the Power Card or do you feel like you can still raise that Check going forward.
Chris Morris: We still believe that there is opportunity to grow Check, but I hear you loud and clear, that is something that we need to proceed with caution, just because we always want to protect the value proposition. I think in these types of businesses, these low frequency, high experiential businesses, the guest is looking for -- they think about value differently than they might think about value on a restaurant chain. And so, we're really focused on the overall experience. We believe that there is still room on price and certain aspects of the business. We believe that there are certain ways for us to be smart about growing Check, but at the same time giving the guests something in return for value. And so, again, all of that will be -- we'll walk through all of that next week and you'll -- I think you're going to be pleased with what you hear.
Chris O’Cull: Great. And then, Michael, I just had a question regarding some of these recent Main Event openings. Can you give us an idea of how much you're spending to open these stores in terms of just the cash outlay and the building costs and some of those things because you haven't opened that many Main Events? I'm just curious to see what the investment cost is for that business.
Mike Quartieri: Yeah, I mean, just to give your perspective, historically Main Event would use developer financing when they selected the site. Would have entered into that sale leaseback at the time of closing, and then use those proceeds to offset the capital outlay. So in general, you would look at a Main Event is costing a little over $20 million, $22 million given that it's a 55,000 plus square foot location with bowling, it has a higher cost to construct. Use those off -- those proceeds from the developer financing and then have a net investment of about $8 million into it. Where we are looking at it today given the strength of our balance sheet and the free cash flow conversion, we're looking at actually putting in that excess amount and funding the full amount of the CapEx upfront with our existing balance sheet and liquidity. What that does is that, it will inflate your CapEx spend, but in turn, we then will enter into sale leasebacks once the stores open and in doing so by having it as an operating asset, we will get a far better return on the cash proceeds from that sale leaseback that makes it worth the time and effort to go ahead and utilize our balance sheet and protect ourselves from an overall perspective. So as it stands right now, the pipeline of what's opened is all -- was in place with Main Event at the time of the transaction. So we haven't had to utilize our balance sheet yet, but Murfreesboro will be our first one. So you will see probably about a $30 million uptick in CapEx from our historical levels when you combine the two companies. But again, that increase is merely timing and we get a far better return on doing the sale leaseback once that store is an operating asset.
Chris O’Cull: Is your expectation that you'll have kind of a sales-to-investment ratio below one with the margin -- the high margin will result in the higher 25% maybe plus cash on cash returns, or how are you thinking about the unit economics for that business?
Mike Quartieri: You're thinking of it correctly.
Chris O’Cull: Okay, great. Thanks, guys.
Chris Morris: Thank you.
Operator: Our next question will come from Dennis Geiger with UBS. You may now go ahead.
Dennis Geiger: Great, thank you. One quick follow-up sort of on the lack of changes in consumer behavior, and you kind of touched on it a bit here. But any updated thoughts on the resiliency of the brands into the tougher macro relative to prior, just given what you've seen and kind of the lack of any of those notable changes as you look ahead over the coming quarters or so?
Mike Quartieri: Yes. I mean, I think, we will get into this a little bit more on Investor Day, but when we go back and look at prior uncertainty in the market, whether that's the 2008, 2009 crisis, the company performed extremely well. Although comp store sales would have been down, but the amount of adjusted EBITDA decline was far less than what the comp store sales are. So from that perspective, there's a very much of a protective environment that we have. And as we get further into these types of situations or these environments, that's when the trade down from the more expensive vacation into the staycation which then yields into that Dave & Buster's trip, helps protect us in that type of an environment.
Dennis Geiger: That sounds good. Looking forward to next week. Thanks guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Chris Morris for any closing remarks.
Chris Morris: All right. Thank you operator. In closing, we'd like to again commend our team for the exceptional results they continue to produce at our stores across the country. Thank you all for joining. We look forward to keeping you apprised of our continued progress on our growth initiatives and revealing more details about our long-term strategic plan at our Investor Day next week. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.